Operator: We have, Executive Director and Chairman, Mr. Zhang Zhiyong; Executive Director, Mr. Gao Chunlei; and Chief Accountant, Mr. Hu Shaofeng. Now a roundup to this event, it's divided into two parts. Firstly, the management team will give you the results for 2023, and then we are going to have the Q&A session. Now, I'd like to give the floor to Chairman, Zhang Zhiyong, who is going to give you a presentation on the overall performance of the Company in 2023.
Zhang Zhiyong: Ladies and gentlemen, good afternoon. Welcome and thank you for joining us for China Towers 2023 Annual Results Presentation. We'd like to express our gratitude to you for your long-term support and interest in China Tower. Today's presentation is divided into three parts. Firstly, I'm going to give you the overall performance of the Company, and then for the specific performance, it's going to be taken over by Mr. Gao Chunlei. And then in terms of our financial performance, it's going to be presented by Mr. Hu Shaofeng. After our presentations, we would be very happy to answer any question you have. In terms of the overall performance of the Company, for last year, the Company proactively provided service and moved towards the strategic goals of Cyberpower, Digital China and Dual Carbon, fortified its position of One Core and Two Wings while continuously deepen the development in sharing and coordination. The overall results for the past year grew steadily. Specifically, our overall performance was excellent. Our operational performance achieved double-digit growth of 11% and supported by multiple pillars, Two Wings' business revenue increased to 12.2% of the total operating revenue. So, we have multi revenue sources established and our Smart Towers serving digital governance. At present, 217,000 telecom towers have been upgraded to digital towers. The Company also accelerated technological innovation. The R&D investment increased by 38%. The Company also shared its fruitful results with shareholders. The dividend payout increased by 15.7%. In terms of the key indicators in 2023, as you can see from the slide, the major indicators are listed here. The annual operating revenue reached RMB94.01 billion, an increase of 2% year-on-year. Profit attributable to the owners of the Company reached RMB9.78 billion, up 11%. As of the end of 2023, the number of tenants reached 3.658 million and the tenancy ratio was 1.79, up 0.05 from the end of last year. The cyclical level continued to increase. Due to the implementation of our policy, you can see our colocation rate continue to improve. You can see that five indicators are red, meaning continue to improve. There is one indicator registered negative growth. I believe this is of great concern to every one of you here. That is our operating cash flow. There seemed to be a negative growth. This is very much a result of the new round of pricing agreement and service agreements. So, we need to upgrade and adjust the charging system. We also need to verify data of all orders. We need to negotiate new service standards. The account receivable collection process was negatively affected, and the cash flow level was lower than that of the previous year. I'd say, this slide was temporary because in Q4 last year, it's already recovering. In January and February, it's a positive growth trend again. For the management, we trust for the year 2024, the cash flow level will return to a normal level. The drop last year is just a temporary thing. In terms of our One Core and Two Wings business, I'd say, each business segment maintained a very good development trend. As you can see from the table here, excluding the impact of the commercial pricing agreements, which is a very big item last year. Excluding the impact of the commercial pricing agreements because we have offered some discount as a result of the pricing agreement. Operating revenue on a comparable basis was RMB97.72 billion, up 6% from the previous year. It's a very healthy, very positive growth trend. In terms of other business, apart from our TSP business, the Two Wings business also grew very well. It accounted for 87.4% of total revenue. Revenue from the Two Wings business totaled RMB11.50 billion accounting for 12.2% of total revenue. That's after we excluding the impact of the commercial pricing agreements. You can see that our revenue from the Two Wings business has continued to improve in terms of its share of our total revenue growth. For the TSP business, we can continue to consolidate our leading position. We expand the 5G network penetration coverage and seize the opportunities arising at key counties, fully push forward the healthy development of the TSP business. On the comparable basis, the TSP business grew by 3.4% and in term of our Smart Tower business, we continue to enhance resource sharing. Last year, the Company had built 586,000 5G base stations, up 9.5% year-on-year, achieving a historical high. We have cumulatively built 2.347 million 5G base stations, supporting China in leading the world in terms of 5G network deployment. We are indeed the leading force in the development of 5G in China. In terms of DAS business, it's another growth engine for the Company. The Company continued to leverage its advantage in coordinated construction, innovative products and service solutions to help to satisfy the demand for 5G upgrading of existing DAS as well as expanding to the new DAS market. Our covered building area was up 37.3% year-on-year, reaching 10.15 billion square meters. Our subway and highspeed railway tunnels coverage was up 20.1% year-on-year, reaching 11,625 and 12,447 kilometers respectively. You can see the DAS coverage continue to expand. As for our Two Wings business, firstly, if we look at the Smart Tower business, the Company sees the opportunities in digital economy and digital social governance, rely on our plentiful high point site resources a specialize operation advantages, while continue to enhances core capabilities in five areas of platform, data, algorithm, application and operation. We also aim to build the differentiated advantages with this algorithm from mid- to high-point monitoring service, continuously transforming telecommunication towers to digital towers. As you can see from the slide, now we provide over 100 meter high-point algorithm. With the plentiful scenario trainings, we are able to provide more than 100 meter high-point high precision algorithms. At the same time, we have established more than 1.3 million unique meter high point database. So, our algorithm will be more and more precise. We'll have more and more data and we'll be able to offer more value in the future. In terms of our energy business, our advantage has been shown in the recent years. We try to meet customer need by accelerating the product innovation. We try to meet customer need in terms of battery exchange and power backup. We tried to upgrade the battery exchange products and develop standardized products for power backup. Also, we accelerated the platform's upgrade and optimize our service systems to strengthen our service capabilities. At the same time, we enhanced the level of delicate management to optimize resource allocation. So, we push forward battery exchange system. For traction battery, we have a power backup. So, there is a cascade utilization of batteries we have a much higher efficiency in our Tower business. So, for last year, our revenue from energy business achieved RMB4.21 billion, which is a year-on-year increase of 31.7%. The business scale continued to expand rapidly. For last year, the Company continued to expand its innovation led development strategy cultivated the new advantages in high quality development through technological innovation. We centered around Turkey the forefront of world technology, serving the main battlefields of the economy, fulfill the production and operation needs, and meet actual customer needs, production and business needs. We focus on key areas such as AI, new energy, computing, power networks, 5G-A and 6G, and increased investment in scientific and technological innovation. We improve results output efficiency, empowered our technological advancement and enhanced quality and efficiency. The end new R&D investment increased by 38% with the application for invention patents increased by 47% and the authorized invention patents increased by 2x. The Company also continued to optimize the technological innovation systems and mechanisms. It built a four in one innovation system led by the headquarters and was also the first batch establishing six technological innovation centers in places such as Hangzhou. We used the full list of capability level projects, resource allegation, and achieved transformation to drive technological innovation. The Company's taking the lead in carrying out over 100 key scientific research projects to accelerate the formation of new quality productive forces. As you can see from the slide, the Company continue to improve its operational management capabilities. We can say for last year as a whole, we firstly implemented various measures for the digital management of fund assets by carrying out intelligent operation maintenance that one could for all single set accounting system and construction of the treasury system to improve digital operation capabilities. In addition, we deepened the incentive system of management level employees by implementing specialized talent programs to stimulate the motivation within the Company. Thirdly, we reformed innovation capability and depend the sharing of existing resources with new talents. Colocation rate reached 85% were continuing house their sharing social resources. Last year, 36.3% of new grant tower sites were constructed by utilizing social resources. So, we improved the resource coordination and sharing capabilities of the Company. Fourthly, we launched the collaborate development of the One Core and Two Wings strategy, drive the upgrade of telecommunication tower to digital tower. So, through having power exchange cabinets to provide reverse power supply to base stations, we established a large-scale operation and maintenance system, connecting all customers' access and maintenance, monitoring and ordering dispatching to improve the collaborative development capability. Thus, we can lower cost and further improve efficiency. Our core towering business, we can provide comprehensive support and service to our customers. We utilize existing operation and maintenance systems to fully serve our One Core and Two Wings customers, so that our operation and management cost can be greatly reduced. As you can see, this year, in terms of our operating revenue and we have the impact of the new commercial pricing agreement, we still achieve an 11% growth in net profit. That's very much due to the improvement in our operation and management efficiency. The Company also continued to improve its payout ratio. The Company always attach great importance to shareholder returns and maintains a proactive dividend policy, so that our shareholders can share the fruits of the Company's development. So, considering the future development needs and our cash flow level, the Board recommended the distribution of a final dividend of RMB0.03739 per share for 2023, an increase of 15.7% year-on-year. The dividend payout ratio of distributable net profit is 75%. In the future, the Company will continue to build on its development momentum, improve profitability and create greater value for shareholders. The Company actively practices corporate social responsibility and is committed to achieving a harmonious symbiosis with society and the environment. In terms of environmental protection, the Company reduced duplicated investment construction in industry through co-sharing. Also, we try to save land and reduce carbon emissions through various initiatives. In terms of social contribution, the Company successfully fulfilled its high-quality communication service for major events, for examples Asian Games in Hangzhou and University in Chengdu. China Tower has provided important telecommunication support and also our emergency response in hazardous weather was also outstanding. In terms of corporate governance, we stick to the diversification of the Board and we utilize the rich experience of our Board members. We try to implement high-quality corporate governance to ensure the interest of our shareholders. This is the last slide of mine. Looking to the future, we will achieve quality development through our strategic guidance. We will achieve upgrading and transformation and we will follow the development of emerging industries and by deepening the implementation of Cyberpower, accelerating the upgrades of digitalization transformation to green and low carbon with the ample room for the Company's development. As you can see from the slide, the Company will continue to implement the One Core and Two Wings strategic layout, reinforce our core competitiveness. We will fully leverage our energy resource coordination and build reputation for unrivalled advantages in integrated costs, project delivery and maintenance service, as well as low management risk further consolidates our leading position in our TSP business. We'll also specialize in Smart Tower Business and enhanced energy business thus driving the high-quality development of the Two Wings business and enhanced enterprise value in order to bring greater return to all shareholders through the healthy development of the Company. So that wraps up my presentation. Now I'd like to invite Mr. Gao Chunlei, our Executive Director to introduce the business performance by segment. Thank you.
Gao Chunlei: Thank you, Chairman. Thank you, dear friends. Now, I will continue to present the Company's business performance by segment in 2023. This table shows the revenue and year-on-year changes in our businesses as well as key operating data, and I will explain them further. So, we achieve steady growth as we have always been doing. So, I'm going to provide you with further details. In 2023, the Company continued to strengthen its core competence under the strategic layout of One Core and Two Wings. The overall development of various businesses was pretty good, and revenue growth pattern supported by multiple pillars continued to consolidate. Excluding the impact of the commercial pricing agreement, the Company's total operating revenue increased by RMB5.55 billion up 6% year-on-year. In terms of revenue structure, revenue from TSP business contributed 51.2% of which the Tower Business contributed 27.6%. And the DAS business contributed 23.6% driving revenue growth by 1.4 percentage points. The incremental revenue contribution of the Two Wings business increased to 46.7%, driving revenue growth by 2.8 percentage points among which the Smart Tower business contributed 28.4% and the Energy Tower business contributed 18.2%. Next, I will discuss the performance of our key businesses in detail. In terms of the Tower business, the Company continued to strengthen resource coordination and sharing capabilities, shorten the demand delivery lease commencement cycle, and tackle difficult sites to fully meet customer needs. We started to explore the development of 5G plus industrial Internet services and opportunities arising from the divest development of the tower business to expand the scope of sharing. Our customer service capabilities have been continuously improved. We continue to expand our market. In 2023, excluding the impact of commercial pricing adjustments, the Tower business achieved annual revenue of RMB78.74 billion, an increase of 2% year-on-year. As the end of 2023, the number of TSP tenants reached 3.424 million, a net increase of 62,000 from the end of the previous year and a year-on-year increase of 1.8%. The TSP tower tenancy ratio increased from 1.65 to 1.68, indicating an increasing level of colocation. In terms of the DAS business, the Company continued to co-ordinate site entry and construction and expanded the industry's 5G coverage with a focus on key industries. We continue to improve our service support capability. At the same time, we explore the potential of sharing existing DAS and enhance the standard product designs to provide customers with differentiated DAS sharing solutions and strengthen professional service capabilities. At the same time, we also provide professional service, improve our product design, better control our cost and achieve competitiveness. In 2023, the Company's revenue from the DAS business was RMB7.14 billion, a year-on-year increase of 22.5%. In terms of our Smart Tower business, the Company focused on special digital governance in various industries and continued to promote the expansion of mid and high point tower site resources, to a wider range of national economy and livelihood fields. By the end of 2023, approximately 217,000 telecommunication towers were upgraded to digital towers, which cover more than 40 important national and livelihood areas including forestry and grass, environmental protection, water resources, agriculture, transportation, land and emergency. We also maintained a market leading position in multiple application scenarios, such as straw burning, farmland protection, fishery law enforcement and forest fire prevention. For last year, the Tower Sharing business revenue achieved RMB2.56 billion, accounting for 35.1% of Smart Tower business revenue. Tower monitoring revenue achieved RMB4.73 billion accounting for 64.9% of Smart Tower business revenue. The capabilities of spatial digital governance services have been further enhanced. The Company also improved its R&D capability in its Smart Tower business and we continue to consolidate our core advantages in platforms, algorithms, and applications. The results of innovation became more evident and its development momentum grew stronger. The Company enhanced the capability of the platform construction by deploying around 17 sites nationwide achieved a platform-based distribution deployment and a centralized data operation. Secondly, the Company leveraged spatial governance algorithm training tools and extensive range of mid and high point data training scenarios to continuously conduct algorithm iteration and upgrading. Thirdly, the Company integrated business systems with operational maintenance systems to achieve precise diagnosis real-time order dispatch switch, swift processing and gradually form differentiated advantages in professional maintenance capabilities. Fourthly, the Company reached the industrial application product system by adding many new industrial application products, product iteration development capabilities to continue to improve. Fifthly, the Company promoted collaborative innovation in industrial cooperation, conducted R&D pilot projects with key universities, signed strategic cooperation agreements with key clients in multiple industries such as agriculture, forestry, water conservation continuously enhance the level of collaborative innovation. For the energy business the Company focused on battery exchange and power backup business segments and provided diversified smart energy services and solutions to help achieve the national goals of carbon peaking and carbon neutrality. Last year, in terms of battery exchange, product iteration upgrades speed up and accelerated the application of technological R&D results. We strengthened customer service capability and continuously improved customer satisfaction. By further developing the consumer market, while stepping up efforts to expand our partnership with corporate customers. The Company maintained a market share advantage. In 2023, the battery exchange segment generated the revenue of RMB2.07 billion a year-over-year increase of 14.8%. By the end of 2023, the Company's launched battery swapping services in more than 300 cities, serving over 1.145 million battery exchange users. The Company has further reinforced its leading position in battery exchange for light electric vehicles. In terms of the power backup business, we attach equal importance to strengthening both quantity and quality, but deepening the 4-in-1 power backup solution covering power backup, power generation, monitoring and maintenance. We promoted standardized products for power backup. We also accelerated the expansion of the customer base in key industries such as communications, healthcare and finance, and actively built the Energy Butler service model to promote the rapid expansion of power backup business. In 2023, the power backup business achieved total revenue of RMB1.74 billion a year-over-year increase of 48.4%. Its scale grew rapidly. So that's my presentation. Now, I'd like to give the floor to our Chief Accountant, Mr. Hu Shaofeng, to present the Company's 2023 financial performance.
Hu Shaofeng: Thank you, Mr. Gao. Our analyst friends, good afternoon. Now, I'd like to walk you through the Company's financial performances for the year 2023. The table shows our key financial indicators in 2023. The Company achieved good overall business performance with steady revenue growth in 2023. Our capital is steady and healthy and profitability continue to improve. The previous speakers have already shared with you the performances of our company. I'm going to focus on our cash flow and other financial topics. The Company's intensified efforts to reduce cost and improve efficiency, give priority to ensuring expenditure directly related to business expansion, strengthen the reuse and longevity of assets and operation and support expenses for single-site improved cost efficiency. Operating expense for the year totaled RMB79.51 billion, an increase of 0.8% year-on-year. Operating expenses accounted for 84.6% of operating revenue, down by one percentage point from the previous year. In terms of depreciation, amortization and site operation and maintenance expenses, the Company continued to improve its asset operation capabilities and service quality and coordinated its investment inside replacement, enhancement, repairs and maintenance to recently reduce operating expenses. Depreciation and amortization totaled RMB49.05 billion, a decline of 1% from the previous year. Repairs and maintenance costs totaled RMB7.41 billion a decline of 2.4% from the previous year. In terms of employee benefits and expenses, in 2023, the Company actively introduced top technological talent and frontline management personnel for business development, promoted a strategy of strengthening enterprise through talents and empowering frontline operational units, and at the same time strengthened performance-oriented incentives linked to work efficiency. For the year, the employee benefits and expenses amounted to RMB8.84 billion, a year-on-year increase of 11.4% for the expenses, mainly due to the support of the development of the Two Wings business, promote the construction of companion service systems and to strengthen support for products and technological solution. The localized management technological support services construction. It continued to address safety risks and increased construction of infrastructure and platforms for the Two Wings business. The annual CapEx was RMB31.72 billion, a year-on-year increase of 21%. You can see we continue to improve. The Company's net profit for the year continue to improve. It's an increase of 9% over the previous year. In terms of CapEx, we try to service the development of the Company and serve the needs of the network development of the Company. We'll try to -- in terms of CapEx, for site replacement improvement was RMB8.53 billion a year-on-year increase of 41.1% mainly due to the increase in the useful life of assets. The Company focused on expanding the longevity of assets and addressing safety issue. In terms of site construction augmentation, the CapEx was RMB17.05 billion, a year-on-year increase of 16.3%, mainly due to the change in the demand structure of TSP's increasing demand for new tower construction. The Company also further strengthened project management, construction implementation and trust for progress needs and enhanced accelerated product construction delivery. The capital expenditure of our Smart Tower energy business facilities was RMB4.48 billion, a year-on-year increase of 16%, mainly to adapt to the business development needs of two wings, increased investment in key areas such as industry product R&D platform iteration upgrades. The Company's cash flow from operating activities was RMB 32.84 billion, and free cash flow was RMB 1.13 billion. Our channel already elaborated on this earlier. This is very much because of the auditing of the service agreement, and we need to negotiate service standards and upgrade the billing system and verify the order numbers. The receivable was under pressure for the first half of the year, but in the second half of the year, the trend began to pick up. The Company cash flow from operating activities in the second half of the year was RMB21.29 billion, an increase of RMB9.72 billion, and 84.2% higher than the first half of the year. In the second half of the year, free cash flow reached RMB2.39 billion. In 2024, the Company gradually accelerated its collection funds. In the months of January and February, the funds collection amounted to RMB211 billion, showing a significant increase compared to the average monthly revenue collection in the previous year. As at the end of 2023, the Company's liability to asset ratio was 39.4%, and its gearing ratio was 31.4%. The overall capital structure remained healthy. In 2024, the Company will continue to deepen the One Core and Two Wings strategy further build upon the operating system that is professional, intensive, dedicated, efficient, digitize, consolidate the foundation for asset operation, facilitate the sustainable, healthy growth of the Company, create greater value for shareholders. Thank you.
End of Q&A: